David Jones: Thank you. Late yesterday, we reported our financial results for the quarter ended March 31, 2022. The earnings release in this presentation are posted on the company's site. During this call, we will be making forward-looking statements, which are predictions, projections and other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by forward-looking statements. These risks and uncertainties are detailed in Innospec's 10-K, 10-Q and other filings with the SEC. Please see the SEC site or Innospec's site for these and other documents. In our discussions today, we've also included some non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release posted on our site. The non-GAAP financial measures should not be considered as associated for those prepared in accordance with GAAP. They're included as additional clarification items to help investors further understand the company's performance in addition to the impact of these events -- items and events have on financial results. With us today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. With that, I will turn it over to you, Patrick.
Patrick Williams: Thank you, David, and welcome, everyone, to Innospec's First Quarter 2022 Conference Call. I am very pleased to report another set of strong results for Innospec. Improvements in all businesses drove a 39% increase in revenues and a 57% increase in operating income over last year. Gross margins improved significantly over the sequential quarter and were in line with the prior year and our expectations. Despite continued inflationary pressure, end market demand remains strong. The benefits of our products are increasingly important in the current high-cost supply constrained environment that we expect will persist through the year. We will continue to work closely with our customers to responsibly manage any additional required price actions. Performance Chemicals delivered a 38% increase in operating income over a very strong comparative quarter last year. We are moving quickly to increase capacity in order to keep up with strong demand across all our product lines. The additional capacity can be used for multiple products and is supported by multiyear contracts. Personal Care now represents over 75% of Performance Chemicals operating income. Complementing Personal Care, we have a diverse pipeline of growth opportunities in our other end markets which include Home Care, mining, agriculture and construction. Fuel Specialties delivered a 49% increase in operating income over the prior year as additional pricing actions took effect and volumes increased. Sequential gross margins recovered significantly. However, we expect gross margins to remain on the lower end of our target range until inflation moderates. As inflation slows, we expect lagging price action to catch up to cost and drive further gross margin improvement. Our outlook is for slow long-term growth in global consumption of diesel, jet and marine fuel, both in fossil and renewable forms. We see increasing opportunities for our technologies to lower emissions while enhancing performance in these end markets. In Oilfield Services, operating income was approximately double that of last year and sales continued to grow sequentially in the quarter. However, shipment delays led to a sequential quarter decline in operating income. As we move through 2022, we believe markets will further improve as oil prices remain high and activity rates increase. Our expectations for gradual improvement in the profitability of our oilfield business. Now I will turn the call over to Ian Cleminson, who will review our financial results in more detail. Then I will return with some concluding comments. After that, Ian and I will take your questions.
Ian Cleminson: Thanks, Patrick. Turning to Slide 7 in the presentation. The company's total revenues for the first quarter were $472.4 million, a 39% increase from $339.6 million a year ago. Overall gross margin decreased slightly by 0.2 percentage points from last year to 29.5%. EBITDA for the quarter was $59 million, compared to $41.4 million last year, and net income for the quarter was $36.5 million compared to $23.4 million a year ago. Our GAAP earnings per share were $1.46, including special items, the net effect of which decreased our first quarter earnings by $0.07 per share. A year ago, we reported GAAP earnings per share of $0.94, which included the negative impact from special items of $0.12 per share. Excluding special items in both years, our adjusted EPS for the quarter was $1.53 compared to $1.06 a year ago. Turning to Slide 8. Revenues in Performance Chemicals for the first quarter were $167.1 million, up 33% from last year's $125.9 million. Volumes grew 7% with a positive price mix of 32%, offsetting an adverse currency impact of 6%. Gross margins of 24.4% were down slightly by 0.5 percentage points compared to 24.9% in the same quarter in 2021. Operating income increased 38% from last year to $25.3 million. Moving on to Slide 9. Revenues in Fuel Specialties for the first quarter were $191.8 million, 38% higher than the $139.3 million reported a year ago. Volumes grew by 23%, and there was a positive price mix effect of 21%, offsetting a negative currency impact of 6%. Fuel Specialties gross margins of 31.6% were 0.6 percentage points below the same quarter last year. Operating income increased 49% from last year to $35.5 million. Moving on to Slide 10. Revenues in Oilfield Services for the quarter were $113.5 million, up 53% from $74.4 million in the first quarter last year. Gross margins of 33.3% were up 0.4 percentage points on last year's 32.9%. Operating income of $2.5 million was a $1.3 million improvement from $1.2 million a year ago. Turning to Slide 11. Corporate costs for the quarter were $19 million compared with $15.1 million a year ago, due mainly to higher personnel-related expenses driven by increased share-based compensation accruals. The effective tax rate for the quarter was 24.3% compared to 24% a year ago. Moving on to Slide 12. Due to a strong sequential sales growth, cash generation for the quarter was impacted by an increase in working capital, which resulted in an operating cash outflow of $29 million before capital expenditures of $8.4 million. As of March 31, 2022, Innospec had $105.6 million in cash and cash equivalents and no debt. And now I will turn it back over to Patrick for some final comments.
Patrick Williams: Thanks, Ian. We are mindful of the uncertainty around continued inflation, rising interest rates, Ukraine war, China lockdowns and other factors that could impact global economic growth. We are cautiously optimistic that as inflation moderates, our margins will benefit further  Regardless of any near-term economic volatility, we believe the sustainability trends that many of our technologies directly address, provide us with a strong platform for sustained growth over the medium to long-term. With the support of our strong balance sheet, we continue to deliver on our record of returning value to shareholders while maintaining flexibility to pursue M&A. This quarter, we commenced share repurchases under our previously announced $50 million share buyback facility and our Board has approved an 11% increase in our semi-annual dividend to $0.63 per share. Now I will turn the call over to the operator, and Ian and I will take your questions.
Operator: [Operator Instructions] The first question is from Mike Harrison from Seaport Research [technical difficulty]. Please go ahead. Your line is open.
Mike Harrison: Hi. Good morning.
Patrick Williams: Good morning, Mike.
Ian Cleminson: Good morning, Mike.
Mike Harrison: Congrats on a nice start to the year. I wanted to start out with a question on the Fuel Specialties. The volume growth there was fairly impressive. Can you give us some numbers around what happened with volumes sequentially? And maybe provide some color on how much of that volume strength was related to further recovery in diesel, how much was better jet fuel demand? And I guess, were there any new products or nonfuel applications that help to drive some of that growth?
Ian Cleminson: Yes, Mike, let me -- the first part of that. Yes, we’ve seen some nice growth, certainly year-over-year volume growth is something like 23% higher from Q1 last year. And sequentially from Q4, we have seen a little bit more expansion. Our diesel additives are pretty much back to pre-COVID levels. And in particular, in the Americas, we've seen very strong growth in the first quarter, much as again, around diesel additives and coal flow. As you know, the Q1 numbers are impacted by the colder weather, and we've had a good cold season that we're about to come out of now, but it's really across the board. The only part of our business that has yet to fully recover is the aviation piece in terms of jet travel and that's still probably round about 20% to 25% down year-over-year from where it was, but we've got nice momentum from Q4 into Q1, and we've got good demand going into the second quarter as well, albeit that the winter season is about to come to an end.
Mike Harrison: All right. Thanks for that. And then over on the Performance Chemicals side, we are definitely seeing a lot of inflation everywhere, and there are some concerns that inflation could be creating some pressure on consumer demand, potentially leading to some trading down in the Personal Care space. Can you break down your Performance Chemicals business? And how much of that goes into mainstream or more value-oriented products as opposed to higher end, more expensive products? And are you currently seeing any change in consumer demand within that Personal Care space or hearing about potential changes from your customers?
Patrick Williams: Yes, Mike, it's Patrick. It's pretty well balanced. We are on the high end with our sulfate-free product lines and our natural product lines, but as well in some of our areas like Home Care and Personal Care, we are also in the mid-markets. We are seeing a slight slowdown mostly in Home Care in the European markets. But for the most part, Personal Care globally still remains strong, and our further outlook through Q2 still remains strong from the order patterns that we’ve seen so far. It's just going to be something that we're going to have to really watch carefully and work with our customers on either; a, new technologies, product technologies and pricing models that not only fit us, but the consumer. And to date, we've done a really good job as a group in doing that with our customers and our end users. So we are still confident in Q2. But as you've said just in the call, we're just going to have to watch it very carefully as we get to the end of Q2.
Mike Harrison: All right. Great. And then a quick one on the share repurchase. Any thoughts on the timing of additional share repurchase activity? I would think that given your strong balance sheet, maybe this is an area of capital allocation where you could afford to get a little bit more aggressive?
Ian Cleminson: Yes, Mike, this is Ian. So at the moment, we are doing a fairly low-level buyback consistently throughout the month. You'll see us do a little bit more in Q2 just because we've completed the full quarter. And right now, we are just going to sit and watch the share price. And if we think there's an opportunity to step in, in a larger way and take advantage of a lot more value in the market, we will do that. But for the time being, our expectation is that we will be nice and steady throughout the quarter at a fairly low level, and we will continue that throughout the year.
Patrick Williams: Yes. I think Mike, just to add to that, it's Patrick. When we originally put out the buyback, it was to be opportunistic in the market, but number one was to print -- is to prevent dilution. And so we've done that, and we're going to continue to do that and be opportunistic in the market when we see fit. The other is, as you can see, we've increased our dividend again, which we've done that between 10% to 12% as a whole throughout the year, and we will continue to do that as we see fit. And the others, if you look at the balance sheet, we want to have a lot of dry powder for our $70 million growth that we previously announced in Personal Care as well as the M&A activity that we've been discussing in the marketplace. So I think we're very well-balanced right now. And obviously, as the markets perceive and as we move forward, we will look at our balance sheet and see what we want to do, if anything, to change things up. But right now, we feel very comfortable where we are.
Mike Harrison: All right. And then my last question, in terms of the strong start to the year, I was hoping that you could give us a sense of whether we should expect continued sequential improvement in earnings. Can you, perhaps, talk about some of the puts and takes that maybe could impact the cadence of earnings as we go through the rest of this year?
Ian Cleminson: Yes. I will take the first go at that, Mike. I don't think we see sequential improvement, and this is really due to the points I noted earlier on in our field Specialties business, it is a seasonal. We tend to have a much stronger Q4 and Q1 with our winter products. And we are coming out of that seasonality now. So Q2 and Q3 do tend to be a little bit more subdued in terms of revenue and operating income. Our expectations for Performance Chemicals are that they will continue to perform close to the level they performed in the first quarter. There may well be a little bit more pressure on gross margins given some of the comments that Patrick made around Home Care. And then in the Oilfield, we expect that business to get back to sequential improvements in Q2 and beyond. When you wrap all that together, our expectations for Q2 is that earnings will be down on the first quarter, but will still be strong compared to the second quarter of last year.
Mike Harrison: Great. Thank you very much.
Ian Cleminson: Thank you.
Patrick Williams: Thanks, Mike.
Operator: Thank you for your question. The next question from Jon Tanwanteng from CJS Securities. Please go ahead.
Jon Tanwanteng: Hi. Good morning. Thanks for taking my questions, and really nice quarter there. It's really impressive in this environment.
Ian Cleminson: Thanks, Jon.
Patrick Williams: Thank you, Jon.
Jon Tanwanteng: My first question is, what happened in the Oilfield business. Kind of help me understand what were the logistics and shipment problems you had and where do margins go from here?
Patrick Williams: Yes. It was a product, Jon, that was going overseas into the South American market that just got held up with the border. It should be released in Q2 of this year, was really the issue. It was just a hold up in -- with all the shipping delays and transportation delays, it was -- it just got caught up in the quarter.
Jon Tanwanteng: Okay, got it. And was that a shipment at a revenue for you? Or was that something that just only on the cost side?
Ian Cleminson: A little bit of both. It held back our revenues, Jon, but we also had to incur additional costs for those delays, which we've taken in the quarter.
Jon Tanwanteng: Okay, great. I was wondering if you could comment on the jet fuel market, where it is relative to where it was pre-pandemic and kind of what your expectations are if it gets back to 80% or 90% of what it used to be and kind of what the impact would be on the fuel business.
Patrick Williams: Yes, it's still off a little bit because of international travel. You've got strong domestic travel in the Americas. You're starting to pick up domestic travel in Europe. Obviously, Asia is still dead. But I think once you see Asia pick back up and you see domestic -- or sorry, international travel come back, you'll see it probably same as 2019 levels. We just don't see it dropping off that much. It's come back quite significantly. And as you see, Asia open back up, you will see it come up even more.
Jon Tanwanteng: Okay. Any sense of what the improvement would be if we get close to those levels just in terms of the profitability?
Ian Cleminson: Yes, it's certainly going to help our gross margins, Jon, because it's a high-value product for us. It's not a particularly great big revenue change, which is a higher-margin business for us. So it's that little bit of cream on top of the cake, should we say.
Jon Tanwanteng: And then lastly, just the cash flow expectations going forward, I know the buyback going on out some working capital expansion. What should we be thinking throughout the rest of the year? And if that kind of normalizes out.
Ian Cleminson: Yes. I think really a lot of it depends on the inflationary environment, Jon. If we continue to see inflation increasing, then obviously, we've got to fund that through our working capital through inventory receivables and payables. So we could continue to see a drag on cash there. And if our business continues to expand again, that will pull down our cash flow. So things being normalized, if inflation moderates and flattens out, then you'll start to see cash tumbling back into the business. So it's a little bit early to say that yet. I think Q2 may see positive cash flow as Fuel Specialties moderate off the strong winter period, but we are still growing in Performance Chemicals and Oilfields. So that aligned with our strong dividend play and our buybacks. It might be that we are neutral on cash in the second quarter. And as we move into the back half of the year with moderate or moderation in inflation, that's when you'll start to see much more positive cash flow.
Patrick Williams: Yes. I think, Jon, just to add to that, you've seen volume growth in the businesses, and a lot of that is because we've had to carry longer inventories due to supply constraints and inventory and shipping constraints. And because we’ve done that, we’ve been able to supply our customers. and that's enabled us to pick up new customers who've had supply problems from our competition. And that goes in all 3 of the business segments. So we will continue to do that to meet customer expectations and requirements. And as Ian said, it could just pull back some of that cash as that goes forward.
Jon Tanwanteng: Understood. Thanks. If I could slip in one more, Patrick. Did you mention the M&A environment on what you're seeing out there and the likelihood of that you can closing in the near-term?
Patrick Williams: Yes. I mean it slowed down a little bit. We do see some compression in multiples. I think you're going to see another bps interest rate hike, which we've already seen. I think that's going to slow things down a little bit as well. Things are starting to come back into an area that makes us look even a little harder. I think that we’ve expanded our horizons and looking at Fuel Specialties businesses. But our primary focus is still Personal Care, Home Care, in our Ag and adjacent markets in the Performance Chemicals business, but there's a lot out there. There's a lot out there in oilfield, which does not interest us. But if you go into our core businesses, that look at M&A growth, we're starting to see a little bit of compression, and I would hope we will get something done sometime this year.
Jon Tanwanteng: Okay, great. Thanks Patrick. Thanks, Ian Cleminson.
Patrick Williams: Thank you.
Operator: Thank you for your question. The next question is David Silver from CL King. Please go ahead.
David Silver: Yes, hi. Good morning.
Patrick Williams: Good morning, David.
David Silver: I think the first question I wanted to ask you about broadly would be the impact of currency on your reported results. So I may have missed it, but I didn't really pick up too much commentary or detail on that. But I mean, broadly speaking, with your significant European exposure. I mean, was this the -- was this the case where maybe, I don't know, several -- your strong sales growth came in the face of meaningful foreign currency headwinds. So just maybe on the revenue side and if there's a way to think about the translation effect on operating income, that would be helpful. Thank you.
Ian Cleminson: 'Sure, Jon. In the scripts earlier, we talked about the sort of the volume price mix and exchange impacts on each of the businesses. And in Fuel Specialties and Performance Chemicals, there was a negative headwind of 6 percentage points in Q1 this year versus Q1 last year. So that was a headwind that we overcame with strong volume growth and a positive price mix impact. In all -- in both Fuel Specialties and Performance Chemicals, there is pretty much a natural hedge to our European euro and sterling cost base. And the way we've constructed the business is such that we are able to offset that with raw material purchases in local currency and overhead costs, SG&A costs in local currency as well. So what we tend to say is that our businesses are naturally hedged at the operating income level. So there's very little impact that we tend to see when we get down to operating income. So we call it out at the sales level, but by the time we get to operating income, we are naturally hedged and there's pretty much zero impact there.
David Silver: Okay. Thank you for that. I had a question, I think, about the diesel fuel markets. And in particular, I mean, there's a number of headlines just pointing out the unusual tightness in that market, maybe even relative to some other -- to gasoline or whatnot. And I'm just wondering how -- what you're seeing out there in terms of the ability of the diesel market to continue to maybe respond to price and whether you see that impacting your additive volumes going forward?
Patrick Williams: Yes. What we've seen is that diesel demand has come back to pre-COVID levels. And so the expectations at the refinery level was to not see demand come back as quick as it did. So when you say there's a tightness, there is a little bit of a tightness at the refinery level because of the fact that diesel demand came back so fast. And so they will catch back up. It should not be an issue moving forward. So we see no effect on our field additives business whatsoever.
David Silver: Okay, great. And this is just more of a broader question. But when I look at your Fuel Specialties and Specialty Performance Chemicals sales growth, and especially, if I look at it on a sequential basis, I mean, it does seem like there's a step change in volume growth there that I didn't have it in my model. But it almost feels like there are some share gains or some new wins, new customers that have been added to the mix, maybe starting January 1. Could you comment on maybe have you been able to capture some market share within some of your important product lines that is showing up starting this quarter?
Patrick Williams: Yes, I think it's a little bit of both. I mean it's -- demand from diesel has come back up significantly, so that's helped out. And additionally, as you just alluded to in your question, is that we have picked up customer demand as well, new customers. And so it's been a little bit of both that we benefited from. And I think we will continue to see that through the year, at least through second quarter. The third and fourth quarter is kind of the unknown for everybody in all of our businesses, but I think through second quarter, we will still see a nice rebound in Fuel Specialties as we did in Q1.
Ian Cleminson: Just to add to that, David. In Performance Chemicals, as you know, we've targeted high single-digit volume growth, and that's exactly what we delivered in the first quarter, and some of that is built around our capacity expansions. We brought more capacity online in the first quarter. We've got more schedule for middle of the year and then late part of this year and early next year. And that's all designed to help that sequential volume growth and that year-over-year volume growth as well.
David Silver: Ian, you kind of read my mind there because my next question was just going to be an update on that 2-year $70 million build-out. So I was wondering if there were some tranches or some elements of that, that had been completed and put into service and you're saying that was a factor on Performance Chemicals in the first quarter, right?
Ian Cleminson: Yes. Yes, we brought volume capacity online early part of the quarter. We’ve got some more plant in the middle of the year and then later this year or the back end of this year as well. It's a difficult environment right now with steel supply and raw material supply and availability of engineering people and all the rest of it, but nonetheless, we were on track for those that core Personal Care volume to be built out and to deliver that high single-digit volume growth in Performance Chemicals.
David Silver: Okay. Thank you. And then the last question, I admit this is pretty unfair. But I was wondering, Patrick, I mean, this has to do with geopolitics in Europe, right? And I think last night or this morning, there's another layer of sanctions that are going to be put into place on Russia. And as a result, Russian oil shipments, I guess, will be reduced dramatically further. But just in general, Patrick, taking advantage of your broad perspective. When you see these different sanctions going into place and the necessary rerouting or new supply lines created. I mean do you feel that this is a process that’s going to proceed smoothly. In other words, will the refineries be able to receive the crude input and other inputs kind of on a normal basis? Or do you see any potential for meaningful disruptions as supply lines adjust to the political realities. It could be global, but I mean I'm thinking particularly in Europe based on the headlines. Thank you.
Patrick Williams: Yes. I mean if you look at it right now, and as you just said in the call, there's continued lead changes in the sanctions and regulatory market with Russians. The sentiment is across the board globally now is to eventually get away from many hydrocarbons coming out of Russia. And so that's going to do two things: it's going to still put a lot of emphasis on inflation, it's going to put a lot of emphasis on oil and natural gas prices. We don't see any refineries that are going to be affected somewhat by not taking Russian crude. So I don't think that there's a concern there. The big issue is that you have the three majors that have pulled out of Russia. So a lot of that volume that Russia was going to send to China and India, really, quite frankly, Russia is going to be in a little bit of a push to get volumes out because of the fact that the three majors are pulling out. So we see -- what we do see is probably sustainable prices in oil and nat gas through the year. You might have some fluctuations of $10 to $15 a barrel, up or down, but there is a lot of uncertainty in that market. But when it comes to the refineries, there won't be any broad effect they can take heavy or if they can take light, it will -- there will be a natural cause and effect both ways. If one refinery is used to take in a heavy, they'll get a heavy from somebody, just at what price is the issue. But I don't -- I think as time goes on, and as this gets further and further down the road, the world is going to learn how to live with it. And I think that that's exactly what refineries are going to do, and I think that's exactly what the consumer is going to do as well.
David Silver: Okay, great. And then maybe one last one, and it has to do with the buildup in working capital this quarter. And I guess I was just wondering if you would categorize that buildup as more reactive. In other words, just from, I guess, customers not being able to accept your finished goods? Or is it more maybe strategic or proactive where you're purposefully adding some raw materials or inputs where you can to -- as maybe an insurance policy against an unexpected outage or shortfall down the road. So maybe the offensive and defensive or strategic and reactive elements within that pretty significant -- sorry, working capital build would be helpful.
Ian Cleminson: Yes. Sure, David. It's Ian. I mean part of the building working capital is on the back of a really strong quarter. You've seen the volume growth, and you've seen the price inflation working itself through. So there's a large element is that our demand is up, and we are just operating at a higher level. So -- and that’s great working capital to have. What we’ve also done, like we did in Q4, and we spoke about it then, and we spoke about it a little bit early, is that we’ve also taken some strategic decisions to hold more finished goods inventory and some more raw materials given all the disruption that we’ve seen in the times in the supply chain and also in the transportation globally. So a little bit is defensive and a little bit is because of our strong performance in the quarter.
David Silver: Okay, great. That’s it for me. Thank you very much.
Ian Cleminson: Thanks, David.
Patrick Williams: Thanks, David.
Operator: Thank you for your question. The next question from Chris Shaw from Monness, Crespi. Please go ahead.
Chris Shaw: Hi. Good morning, gentlemen. How are you doing?
Ian Cleminson: Good morning, Chris. How are you?
Patrick Williams: How are you?
Chris Shaw: Good. All through the course, congratulating another great quarter.
Ian Cleminson: Thank you.
Chris Shaw: Well done. Was there any pull-forward you think? Or we've had some companies comment that customers were eager to get -- build up their inventories as well. So is there any maybe like extra ordering just have sort of a safety stock or people worried about supplies later on in the year? Were they ordering ahead of time? Do you notice that end of your businesses?
Patrick Williams: No, we really haven't seen that and it is a little bit more difficult to do a pull forward due to the fact of the tightness in the raw material market anyway. So we really have not seen that. It's been a fairly normal pattern to us due to the fact that we've got a pretty good look at what the contracts are and the volumes are over a pre and post-COVID year. So we haven't seen it. And I think a lot of companies, even if you did a pull forward would be difficult just do the supply tightness.
Chris Shaw: Got it. And then, obviously, you're achieving a lot of pricing, which has done well to obviously stay margins or grow margins. But you have a longer history, I think, in the Fuel Specialties business, but if you look at that and Performance Chemicals, what do you think the odds are, how sticky can that pricing be. I assume it might be different for each segment -- longer term.
Patrick Williams: Yes. Typically, in our contracts, you have that 3 to 6-month lag going up and down. And so when you're in a flying inflationary market like we are now where prices are literally changing by the hour, by the day, you can get cut, you can get contracted margins real quick, especially in your longer-term contracts. So the opposite is if we do see some flattening of raw materials and inflation starting to pull back a little bit, we think we could see a boost in margins on the way back down. And that’s typically historically how it's been and we will just have to watch that and monitor it closely. But historically, within our company, that's really what we’ve seen. Now we haven't seen this big of a ride, this drastic, this quick, but we've done a really good job as you can see, managing that, and it's just, again, managing those expectations on the way down as well.
Chris Shaw: Is it the same for Performance Chemicals or Personal Care specifically?
Patrick Williams: Absolutely.
Chris Shaw: Your contracts have a 3 to 6-month kind of thing that they can go up and down. They're not just.
Patrick Williams: Absolutely.
Chris Shaw: [Indiscernible], okay. Got it.
Patrick Williams: Yes.
Chris Shaw: That’s all I have. Thanks a lot.
Ian Cleminson: Thank you, Chris. Appreciate it.
Operator: Thank you for your question. There are no further questions at the moment.
Patrick Williams: If you have any further questions about Innospec or matters discussed today, please give us a call. We look forward to meeting up with you again to discuss our second quarter 2022 results in August. Have a great day.